Operator: Good morning, my name is Chris, and I will be your conference operator today. At this time, I would like to welcome, everyone to Q2 Holdings Second Quarter 2018 Results Conference Call. [Operator Instructions] Bob Gujavarty, Vice President of Investor Relations. You may begin your conference.
Bob Gujavarty: Welcome to the Q2 holdings conference call for the second quarter ended June 30, 2018. I’m Bob Gujavarty, Vice President of Investor Relations, and with me today, on the call, are Matt Flake, our CEO; and Jennifer Harris, our CFO. As a reminder, today’s conference call is being broadcast live via webcast. In addition, a replay of the call will be available on our website following the call. By now, you should have received a copy of our press release that was distributed yesterday afternoon. If you have not, it is available on the Investor Services section of our website. Before beginning, we must caution you that today’s remarks in this discussion, including statements made during the question-and-answer session, contain forward-looking statements. These statements are subject to numerous important factors, risks and uncertainties, which could cause actual results to differ from the results implied by these or other forward-looking statements. Also, these statements are based solely on present information and are subject to risks and uncertainties that can cause actual results to differ materially from those projected in the forward-looking statements. For additional information, please refer to our filings with the Securities and Exchange Commission and the risk factors contained therein and other disclosures. We do not undertake any duty to update any forward-looking statements. During this call, we will be referring to both GAAP and non-GAAP financial measures. We believe that non-GAAP measures are representative of how we internally measure the business, and they are reconciled to GAAP in the tables attached to our press release, which is available on the Investor Relations Website. The non-revenue financial measures we will discuss today are non-GAAP unless we state the measure as a GAAP number. Any non-GAAP outlook we provide has not been reconciled to the comparable GAAP outlook because, among other things, we cannot reliably estimate our future stock-based compensation expense, which is dependent on our future stock price. Since we expect our future stock-based compensation expense to have a significant impact on our future GAAP financial results, a reconciliation is not available on a forward-looking basis without unreasonable effort. Let me now turn the call over to Matt Flake.
Matt Flake: Thanks, Bob. On today’s call, I will share our results and user growth from the second quarter 2018. I’ll then discuss some business highlights from the quarter before handing the call over to Jennifer for a detailed look at our financials, along with updated guidance. In the second quarter, we generated revenue of $58.6 million, up 23% year-over-year and 7% sequentially. We had another solid quarter of user growth as well, adding more than 500,000 users, which brings us more than 11.4 million registered users and represents 19% year-over-year growth. The second quarter was defined by an extremely well-rounded performance in which each of our sales team had noteworthy wins. On the net new side, we saw a continued momentum from our strong start to the year, with balanced wins across both banks and credit unions. I was pleased with the addition of a $6 billion credit union signed this quarter and I’d also like to highlight the strong performance of our sub-Tier 1 teams this year. To give you an idea of our performance in those markets in 2018, our non-Tier 1 bank teams have generated more bookings in the first half of this year than in all of 2017. I’ve suggested that improvements in the economy and the regulatory environment would enable bank to increase their investment into forward-looking initiatives, like digital, and I believe that prediction is coming to fruition, creating a tailwind for us in the bank space. Our cross-sales team had another solid performance in the quarter, powered in large part by our corporate product suite. As I’ve shared in the past, our corporate product suite gives us both a competitive edge in the net new deals and presents us with major cross-sale opportunities, and we saw both of those scenarios play out in the second quarter. The Tier 1 credit union that we signed in the quarter purchased our corporate products standalone in order to help them compete in new commercial markets. Meanwhile, another credit union that initially signed up for corporate in 2017 made decision to purchase our retail product in the second quarter, demonstrating the powerful cross-sale potential of our robust single platform. In addition to the corporate success from the quarter, our other commercial products continued to succeed in the market, particularly within our Centrix portfolio. It’s been three years since we announced our acquisition of Centrix, so I’d like to take this opportunity to provide some color on their performance and customer base, which has grown steadily since the acquisition. When we made the acquisition, we felt that the Centrix product line bolstered our overall portfolio in the regulatory and compliance area and based on the consistent inclusion of Centrix products in our net new platform deals, I believe that synergy is playing out better than expected. Centrix has also continued to demonstrate its value as a non-platform products suite. I’m proud to say that as of this call Centrix products are installed at more than 450 institutions across the country, with approximately 1/3 of those being Q2 platform customers. We believe Centrix has plenty of room for growth, both in product innovation and gaining market share, and we expect them to remain an important contributor to our business into the future. Moving on, we are nearing the one-year mark since launching the Q2 Open team, and they had a solid second quarter, signing six new fintech companies for broad use of the Q2 Open portfolio. I’m pleased with the traction this team is getting and I believe it presents some exciting growth opportunities for our business into the future. I am particularly impressed with the efficiency of this team in winning deals. We’re finding that the competitive landscape is still developing, which we believe puts us in prime position to be the vendor of choice in enabling all new products and strategies for these fintech clients. As I’ve mentioned, Q2 Open deals take on a different shape from the platform side of our business. Many of these fintech clients are using the Q2 Open portfolio to launch brand new products, therefore, the deals often start on a much smaller scale, but have the potential to achieve much higher user growth than what we typically see from banks and credit unions. For example, our client Acorns recently shared with Yahoo Finance that they have more than 3.5 million users on their micro investment app, up from about $2 million in late 2017. They also disclosed that when they recently launched a wait list for their forthcoming Acorns Spend debit card, they reached their goal of 100,000 sign ups in just four days. The consumer demand for this fintech product is clear and it provides us an opportunity for growth, as we continue to gain traction in this space. To give you a sense of the investment into the fintech market, a report from CB Insights shows that in 2017 there were more than 1,100 fintech funding deals or three a day for a total of more than $16 billion. So we don’t believe this market is done growing and these fintech companies have largely come to understand that the direct competition with banks is not an ideal model. Instead they are seeking deep partnership with banks, more and more frequently, in order to benefit from the regulatory infrastructure and knowledge the banks possess. Meanwhile, banks seem to be embracing fintech partnerships as a new way to acquire customers and deposits. And strategically we believe Q2 Open can play a leading role in driving this new partnership model in the market. Further, we believe this puts Q2 in a unique position to balance the business needs of banks and credit unions through our platform, and the desire of account holders and financial institutions to constructively partner with fintechs. To wrap up my comments on the quarter, I’ll reiterate that I am pleased with the balanced performance of our sales teams. Over the last several years, we have grown our product portfolio considerably, both organically and through two strategic acquisitions. As a result, we have expanded our traditional markets and entered new ones. And the second quarter was perhaps the best example to date of all of our teams, net new platform, cross-sales, Centrix and Q2 Open firing on all cylinders across their respective markets. This balanced performance highlights that while we continue to execute on our core business, we are also integrating these new teams and products effectively and capitalizing on our growing market opportunity. Finally, I’ll close my prepared remarks by noting our announcement this morning that Q2 has reached an agreement to acquire Cloud Lending Solutions. Cloud Lending is a SaaS business that offers an end-to-end lending and leasing platform. Their solutions help lenders close more loans, close them faster and provide a better experience to borrowers throughout the process. Consumers in businesses today experienced the majority of their financial journey digitally, and loans are a key component of that journey. And while there has been substantial progress transforming digital banking systems and solutions, the digitization and automation of lending and leasing has lagged. As a result, lending remains a largely manual paper-driven process, making it inefficient for lenders and frustrating for borrowers. With cloud lending, Q2 looks to deliver a cloud-based next generation platform that helps lenders drive efficiencies, reduce cost and substantially improve the borrower experience. Ultimately, this helps lenders build valuable relationships with borrowers, while more effectively managing and growing their lending portfolios, their fundamental income-generating activity. There is a substantial market opportunity for digital lending and the addition of Cloud Lending’s talented team and modern technology will help us expand our footprint in existing markets, as well as the enter new ones. We expect the acquisition to close in early Q4 and we’ve planned to provide updates on the business in the quarters ahead. Thanks. And with that, I’ll turn the call over to Jennifer.
Jennifer Harris: Thanks, Matt. I will briefly review our results for the second quarter, before finishing with updated guidance for the third quarter and full year 2018. As a reminder, our 2018 results and updated guidance reflect the adoption of ASC 606, which we adopted using the modified retrospective method. Therefore, 2017 results have not been adjusted, such that the year-over-year comparisons for revenue and certain expenses do not reflect true apples to apples comparison. Total revenue for the first quarter was $58.6 million, an increase of 23% year-over-year and up 7% from the previous quarter, driven primarily by a combination of organic user growth and customer go lives in the quarter and a slight uptick in transaction based revenue. Transaction based revenue and actual dollars was up slightly from the previous quarter and represented 15% of total revenue in the second quarter, down from 16% in the first quarter and the year-ago period. In addition, backlog, which reflects contractually committed revenue over the remaining contract term for all current contracts increased from $756.1 million to $764.6 million at June 30, 2018, driven by the solid execution of our sales teams during the quarter. As we turn to gross margin and operating expenses, please note that unless otherwise stated all references to our expenses and operating results are on a non-GAAP basis. Gross margin was 53.3%, up from 52.6% in the second quarter of 2017 and down from 54.3% in the previous quarter. As you will recall first quarter gross margin benefited from the timing of buyout revenues, due to the adoption of ASC 606 and the sequential decrease in gross margin was almost entirely related to the reduction in buyout revenues quarter-over-quarter. Total operating expenses were $28.7 million, up 10% from one year ago, but up only 5% from the previous quarter. Research and development, and general and administrative spending was largely unchanged sequentially. Cross-sales and marketing expense was up 10% from the previous quarter and drove the majority of the sequential growth in total operating expenses. The increase in sales and marketing expense was largely related to the timing of our Annual Client Conference, which was held in April. Adjusted EBITDA was $5.1 million, up from $1.4 million in the year ago period. The improvement was driven by the higher revenue and continued leverage in our operating expenses. We ended the quarter with cash, cash equivalents and investments of $278.7 million, down from $294.1 million at the end of first quarter. Cash flow from operations for the second quarter was negative $14.2 million, and the company incurred net capital expenditures of $5.8 million. The decline in cash flow from operations was driven largely by an increase in accounts receivable and the related day’s sales outstanding. The company implemented a new billing system during the second quarter, which delayed May and June invoicing the customers until the end of the quarter with no chance to collect on those prior to quarter close. A large portion of these May and June invoices have since been collected and we expect to generate positive cash flow from operations in the third quarter. Finally, as Matt mentioned earlier, we’ve entered into an agreement to acquire Cloud Lending Solutions and we expect to close the acquisition early in the fourth quarter. We intend to fully fund the acquisition from cash on hand and we anticipate providing additional financial details along with updated guidance on a future call subsequent to closing. Let me now turn to our updated guidance, excluding the pending acquisition. We forecast third quarter revenue in the range of $59.7 million to $60.3 million and full year revenue in the range of $238 million to $239.2 million, representing 23% year-over-year growth. We forecast third quarter adjusted EBITDA of $5 million to $5.4 million and $42.1 million to $23.5 million for the full year 2018. I’m encouraged by the broad based strength of the business demonstrated in the second quarter and looking ahead, I expect those trends will extend into the second half of 2018. Over the last several years, our cash generation has improved substantially in the second half of the year as compared to the first half and that trend should continue in 2018. Now, let me turn the call back over to Matt, for his closing remarks.
Matt Flake: Thanks Jennifer. In closing, I’ll reiterate that I was pleased with our well-balanced sales performance in the second quarter. Our sale teams continue to execute a solid cliff, that I believe is powered by an improving economy and regulatory environment. Our acquired technologies and teams both on the Centrix and Q2 Open sides performed above expectations. In general, I feel good about our pipeline across all business units and we look forward to closing the Cloud Lending Acquisition and launching the integration process. Thanks again for joining the call. And with that, I’ll turn it over to the operator for questions.
Operator: [Operator Instruction] Your first question comes from Tom Roderick from of Stifel. Your line is open.
Matt Flake: Good morning Tom.
Operator: Mr. Roderick you maybe unmute.
Tom Roderick: Sorry about that guys, good morning. Thanks for taking my question. So, let me dive in just a little bit on some of the pace of implementations and you guys had a hit huge slate of Tier 1 wins last year and the first quarter of this year. And now you’ve announced a very big quarter of wins – be sort of below the Tier 1 level. Talk a little bit if you don’t mind just about, how the pace of Tier 1 implementations are coming along? Generally speaking, I think you weren’t expecting to see much contribution from those go lives until fourth quarter of this year into the first quarter of next year, so is that expectation still holding and then how does capacity look as you look to land more Tier 1s and implement these Tier 2s and Tier 3s, you’ve landed an aggressive slate up here in the second quarter?
Jennifer Harris: Yes, Tom. The deals that we signed in 2017 and Tier 1 were all in the last 120 days of the year. Therefore, while we weren’t expecting them to contribute meaningfully to revenue in 2018, we do expect them to begin contributing in 2019. I think, I also said last quarter that it was early signings on some of those or early planning on some of those and some may choose to rollout in phases, and indeed a handful of those have chosen to rollout in phases. And so you actually may see a slight uptick in Q4, part of the accelerated growth in Q4. It’s coming from some of the first phases of those going live. But I would also caution you because they’re going live in phases, you won’t see the full impact of some of them until late 2019.
Thomas Roderick: Understand that’s helpful. And then just on the Cloud Lending Acquisition, seems like a really nice fit particularly with where you’re going to expand offerings on the Q2 Open side and expanding into other areas or uncorporate. So, the price of it here and sort of not insignificant, can you help us understand – I know you’ve not given financials yet, but should we expect this to be sort of a revenue-generating entity that will sort of mimic a lot of the SaaS multiples we see out there, in other words, we will see some revenue contribution in the fourth quarter and more material in 2019 or is this much – much more of a future-proofing technology play that’s the strategic on the product front, but not likely to contribute to revenue and therefore could be seen as a dilutive in 2019?
Jennifer Harris: Yes, Tom. There are small private companies, so I can only say so much at this point until the deal closes. But I would tell you that their revenue growth rate is north of that of the revenue growth rate of Q2, so we do expect it to be accretive to revenue growth. I would caution you, I don’t expect to see much impact in Q4, depending on the timing of closing because remember that we’ll have to take a purchase accounting adjustment and lose some of the deferred revenue that they have on the books. And so I would expect that, while – it will still be accretive to 2019, you’ll see much more accretion in 2020 forward after we work through some of that deferred revenue haircut.
Operator: Your next question comes from Sterling Auty of JPMorgan. Your line is open.
Sterling Auty: Yes ,thanks. Hi guys. Wanted to start with the full year guide was good, the results in the quarter were good, but third quarter guide was less than Street consensus and what I’m wondering is part of that maybe a shift in the timing of some of the go lives and when you expect some revenue or is part of that maybe some of the commentary around the transactional business that you mentioned or perhaps some other factor?
Jennifer Harris: Remember that last quarter, I actually told you that a large portion of the over performance in the first half of 2018 was related to the adoption of ASC 606 and the timing of how revenue was recognized on the buyout payments related to terminations. We had obviously insight into a lot of M&A that was going to happen in Q3 of this year, that we’d have planned the buyouts under 605 in Q3, but because of the change in the accounting and pulling that forward to where that termination is negotiated and do a payable from the customer, and spreading over that term, it pulled a significant chunk of revenue out of Q3 into Q1 and Q2 of this year. So I think you’re seeing that timing within the quarters of the adoption of 606 that I talked about earlier.
Sterling Auty: So we screwed up the modeling, that’s a much better answer. And then the follow-up question is around the acquisition. When you talk about leasing and lending as a SaaS model, many investors will immediately go to the thought of early May, in terms of SaaS provider for loan origination software for mortgages. Can you help kind of articulate where does this platform fit in? Is it full lending, meaning mortgages to personal loans to commercial loans, so where does it fit in the competitive landscape?
Matt Flake: Yes Sterling. So the product can provide consumer lending unsecured, so not mortgages, commercial lending things like small biz, C&I, CRE and then leasing for the – and so if you look at the – if you go to their website, they have some of the largest and most respected financial institutions, all finance companies and leasing companies in the world that are on the platform. It’s not going to be, where I can be going head-to-head with Ellie Mae on mortgage stuff. It’s going to be more bank and all financing leasing centric than going after the mortgage class.
Operator: Your next question comes from Brian Peterson of Raymond James. Your line is open.
Brian Peterson: Hi, thanks for taking my questions. So, Matt, I wanted to dive in your comments a bit on that you – with the non-Tier 1 bookings. Could you expand on maybe what drove that level so far this year, was it new logos, upsell, any color you can give there?
Matt Flake: Yes, I think it’s a little bit of both. Brian, I think that the Tier – the credit unions continue to be just steady Eddie for us, kind of regular cadence platform is playing very well there. On the bank side, I think it’s a combination like we’ve talked about of a better outlook on both the economy and the regulatory environment in combination with our platform, what our community bank can get through this on the corporate and small business side, it’s truly differentiated and it’s very difficult for people to offer as much as we do and it’s differentiated as we are. So I think it’s just – these tailwinds continue and I’m very optimistic about the back half of the year with that group as well and we’re competing very well in the Tier 2 space and 3.
Brian Peterson: I’ve got it. And Jennifer maybe one for you, just on the deferred revenue, I know that was down at – the sequentially, the backlog was up nicely, but can you help us maybe walk through some of the moving parts, I know there’s 606 in services, and then obviously, we don’t have a good sense of renewal timing. So any help on what drove the deferred revenue trends this quarter? Thanks guys.
Jennifer Harris: Yes, we’ve always cautioned you guys not to look at deferred revenue as a proxy for us because the majority of our deferred revenue is just that upfront implementation that’s running off over time. We built the majority of our customers for their subscription on a monthly basis. We do have a few annual customers that are in there, but nobody gets build more than annually. And I would also say that with the adoption of 606, remembered that we end up having to net our contract assets and liabilities, which the contract liabilities are deferred revenue, so the deferred revenue that’s sitting on the balance sheet is not necessarily the gross deferred revenue that we have either. So I wouldn’t urge you to continue to look at backlog now that we’re reporting that going forward.
Operator: Your next question comes from Terry Tillman of SunTrust. Your line is open.
Terry Tillman: Hi, everyone. Thanks for taking my question. The first question, I guess, Matt, it relates to Cloud Lending. So is this more focused on like wholesale banking and commercial lending and if that’s the case, are there some good synergies with your corporate banking product? And I have a follow-up then on Cloud Lending.
Matt Flake: Yes, I think – I mean, historically it’s been more consumer oriented, but they do have commercial focus – as the commercial customers as well. The thing about the product is, it’s built on the Force platform, it’s flexible, it’s scalable and we can get into new asset category, it’s really easy and that’s one of the things that we’re going to be working with them on is, what asset classes make the most sense in North America, they’ve obviously been very successful internationally. And so we’re going to work together to do that as part of the integration program in moving forward, but it’ll be a very focused effort and the product, as I said, it can – it offers consumer, commercial and leasing and we’re going to expand on all of those, but we’re going to do it in a focused manner.
Terry Tillman: And then competitively are the cores competitors here like they are with your digital banking or is this more kind of new age companies like [indiscernible] or is it usually trying to build something themselves?
Matt Flake: Yes. I think primarily it is paper and spreadsheets, an old processes that we’re trying to automate. The cores have some of this, there are some new entrants and the thing about this space that I like so much, is that it really reminds me of like the late 90s, when Internet banking first came out. And so there’s so much opportunity out there and there are so few real solutions and so we were just – we surveyed the market, looked at all the technology and direction, we went through the buy build partner and cloud just kept coming up as the winner in every solution, so that’s why we made this decision. I believe that if you think about this digital transformation that’s happening for financial services, all finance leasing companies, for us we think we’re in the lead in that transformation that’s going on with our products, whether it’s for digital banking, transactional banking now for lending.
Operator: Your next question comes from Matt Hedberg of RBC Capital Markets. Your line is open.
Matt Hedberg: Matt I had a question for you. A lot of the success you’ve had has been rolling out new products over the years and seeing strong traction with things like corporate, open and SMART. I think these days, you have more than 30 products in total 30 different SKUs, and I think historically, maybe the average customer you’ve had about 10. Could you update us on how penetrated your base is, as your portfolio continues to expand?
Matthew Flake: Let me ask Jennifer to kind of run the numbers on that.
Jennifer Harris: Yes. Before the Cloud Lending Acquisition, I would say we were probably with the new products that we had up close to north of 40 SKUs and we’re probably approaching because some of these new things like SMART, et cetera are being added on to all the net news now. So I would say we’re probably approaching – most of our customers having somewhere in the mid-teens of those.
Matt Hedberg: And then I had a follow-up question on Cloud Lending as well. It looks like a nice revenue generating application for customers. Matt, I guess – to me it looks like there could be some interesting integration points with that product as well as SMART. Could that be the case that there could be some additional machine learning functionalities added in that could benefit from sort of your broader platform?
Matthew Flake: Yes, Matt I think you’re dead on. We want to get this integration process, but we believe if you just think about how – it’s logical that you have an account holder that logs into their system and runs their business of their life and you’re able to look at their cash flow, you take that data and then you see opportunities for lending opportunities, whether it’s a retail or commercial business. If the person is being authenticated, you can eliminate a lot of the manual stuff that goes in or the information that’s over repetitive that you have to enter when you’re getting a loan and just making that so simple. We didn’t go into this deal with cloud and not spend a lot of time with customers and prospects to see what they want, how they view this space and that just reaffirm for us that we got to help them generate revenue, we got to help them deepen those relationships they have with their customers and we think adding the lending side, their revenue generating side to the platform is going to be very compelling. And machine learning behavioral science is going to be at the foundation of saving time and energy for these guys to be able to target the right customers at the right time to generate a loan.
Operator: Your next question comes from Arvind Ramnani of KeyBanc Capital Markets. Your line is open.
Unidentified Analyst: Hi, this is Brian Gerring [ph] sitting in for Arvind. I was just curious if you could provide a little update on bill pay services and how you see that trending for the full year. I know initial FY team guidance taught for a slight deceleration. I was just curious as to how you see that trending over the year? Thanks.
Jennifer Harris: Sure. We actually did see a slight uptick in the sequential growth of bill pay this quarter. However, it’s still significantly lower than it has been in prior years. And even with that uptick I would point out that we decreased as a percentage of total revenue from 16% of total revenue, down to 15% during the quarter. And so if the growth that we saw in Q2 continues through the year, there is a chance that you might see a slight uptick again to 16% of revenue, but I think it’s going to remain relatively flat.
Unidentified Analyst: Great thanks.
Operator: Your next question comes from Mayank Tandon of Needham & Company. Your line is open.
Mayank Tandon: Matt, any changes on the competitive side, if you could maybe speak to that both on your core retail and also on the corporate side both within the core and then obviously some of the emerging players that might have SaaS solutions that might be more competitive with your product portfolio?
Matthew Flake: It’s the same dynamic that’s out there. There are some new players, we usually see them on the retail side. The corporate and small business offerings are a different level of complexity, they take more time, we haven’t seen much there. There has been some consolidation in that space, as you know. So, no material changes in the competitive landscape and it’s four quarters in a row, we’ve landed a Tier one every quarter 10 in the last four. So that’s kind of the barometer for what’s going on in the marketplace because in those Tier ones everybody gets invited to and we continue to do very well. And then also I commented on the bank and the credit union side earlier, so continued to do very well. And then also I commented on the bank and the credit union side earlier, so continued to do very well in this environment with our platform, our focus on customer experience and our mission-driven company.
Mayank Tandon: But it does seem like you’re a share gainer or so, that’s good to see. One quick one for Jennifer, Jennifer on margins, just wanted to get a better sense of – as we look ahead into 2019, 2020 and beyond and you look to get to your target model. How does the margin trajectory breakdown between gross margin improvement and operating leverage?
Jennifer Harris: I think go forward you’re going to see a bit more out of operating leverage, especially with this cloud lending acquisition. One of the things that we’ll plan to do is invest in sales and marketing there and really help grow that business. And with that increased volume, obviously, we’ll need some increased investment in implementations personnel to make sure that we can get those on the ground. And so, while I do expect the Cloud Lending in the longer term to be accretive to margin, I do expect it to put some pressure on gross margins for the first couple of years.
Operator: Your next question comes from Joseph Vafi of Loop Capital. Your line is open.
Joseph Vafi: I was wondering if there was any read through into the Tier one section of your market from strength in the Tier two and Tier three bookings and then is this kind of pace of Tier two and Tier three bookings sustainable for the next few quarters, do you think?
Matthew Flake: Yes, I mean I think that – as long as the economy and the regulatory environment maintains, I see continued momentum for the next couple of quarters. And I didn’t really understand the question on the Tier one piece, what was that?
Joseph Vafi: Just, is there any read through from the strength and the drivers in the Tier two and Tier three space in the Tier one, I guess, while we’re talking Tier one. And maybe if you could talk a little bit on the pipeline there and what it looks like for the second half of the year?
Matthew Flake: Yes, the Tier two has the same – is the same dynamics as the Tier – Tier one has the same dynamics of the Tier two and the Tier three. It’s just – I’ve said it before the end of the summer is not a great time for Tier ones to come in and so Q3 of last year we were fortunate to pull some in, that probably usually go down in the fourth quarter. So from a pipe perspective, I feel very good about the Tier one pipe. I don’t anticipate Q3 being a big Tier one quarter, but I expect a pretty strong finish to the end of the year. We are always trying to pull a minute if we can, but if you think about it, people get off of vacation in August and get back and September is usually a month for planning for 2019 for these banks. But we’re going to try like hell to get whatever we can every month, but the pipeline looks good for Tier ones, Tier twos and Tier 3s.
Operator: Your next question comes from Peter Heckmann of Davidson. Your line is open.
Peter Heckmann: Can you talk about any change you’ve seen in the competitive dynamic either in retail, digital banking or corporate and what you’d say is kind of the key differentiating technology now that really puts you above competitors?
Matthew Flake: I haven’t seen much change in the competitive dynamic. What you’re starting to see is more and more of these the fintechs and the features that come out from fintechs become in play a little bit more, things like goal-based savings, which were things that we have in our product. I think when you think about the differentiation for our platform, it is the user experience, it is the single platform, it is the ability for an account holder at a financial institution, which often represent many different classes. They may be a retail account holder, a business account holder with a family in the CPA. Their ability to access all of their information from any device, anytime, anywhere is a huge differentiator force and the deep and rich functionality that we have on the platform that is also tied to our Fraud Analytics product, which we built negatively on the platform as well as Q2 SMART, which is gaining serious traction, so that the financial institution could begin to gain insight into who these individuals are and target whether it’s a service or product towards them. And so the full featureness of the platform is a big differentiator for us. And then also, there is an element of our execution, which other people struggle with. The new guys seem to have a lot of indigestion over trying to sign these deals. We took out a customer live just in the last couple of weeks, they took 200,000 account holders live and they flipped the switch on Monday, did an unbelievable job of delivering more than 20% of those account holders enrolling them in the system in one day, which is far above what we typically see. Their Android phone rating went up, I think of a star or half star. So, we continue to see performance on the execution side and that helps us win deals with customers as well because when they look at these, there may be a lot of noise in the market about what companies has or what they say they do, but when the rubber meets the road, we have a lengthy track record of innovating and delivering our technology, that’s a big differentiator for us.
Peter Heckmann: Then you can give us an update on maybe retention trends either through M&A or maybe some of the smaller institutions going to a lower price solution?
Matt Flake: I think you’re going to see the churn number, where it was last year by 5% and I think about half of that’s going to be M&A. We continue to see M&A work for us, when our customers are requiring them, but we also have the other side of that is some of them are heading out the door through acquisitions of their own. So, it’s a very similar dynamic to last year, Pete and next quarter – we usually provide a little bit of foreshadowing. But I think you’re going to see us in the 5% range on churn this year.
Operator: Your next question comes from Brian Essex of Morgan Stanley. Your line is open.
Brian Essex: Hi, good morning, and thank you for taking the question. I was wondering if you can pile on the lending solutions questions, for Cloud Lending and maybe could we get a little bit of sense of what the customer base looks like in the profile of our RCFI Tier 1, Tier 2. And then as a follow-up maybe what you might need to do on the integration front, is this a completely different sale – different sales force or would that sales force demerged in material sales force and you can have some cross pollinization there?
Matt Flake: Yes, On the customer side I’m limited, but with public information out there. But if you look at their website, they have ABN AMRO, Rabobank as customers. On the leasing side, DLL is one of the largest leasing companies in the world, Toyota Financial Services. They have other – finance companies. So there are mostly on the larger financial institutions side. Internationally, they have some customers here in North America. And from a sales perspective, that’s a really good fit for us with our sales organization, with our customers here, all of our customers could use this – use one element of their product are not so I mean it's a great cross sell. On the prospect side, we’ll continue to use our sales organization to sell the product, but they have a sales organization as well that’s here in the United States as well as in certain geos. And we will add, enhanced resources for them and then we will integrate from a sales perspective their products into our sales on the North American side, but we’ll also have them continue to pursue opportunities that they have outside of the base of Q2 and the people and the prospects that are looking at digital banking. It’s just a very nice fit of companies where they can leverage our strengths and we can leverage theirs as well.
Brian Essex: And that’s great colour. And it does look like a nice fit. Any overlap at this point or is this primarily a lot of opportunity to cross-sell up sell throughout the customer bases?
Matt Flake: That’s the beauty, it’s just – it’s all Greenfield for us, an opportunity. There’s not much overlap at all.
Operator: Your next question comes from Brad Berning of Craig-Hallum. Your line is open.
Brad Berning: Hey, good morning. I was just wondering, if we could take kind of a higher level kind of step back a little bit and understand the progress on the bank industry as far as moving from more of a static user experience to transactional dynamic user experiences that you provide best-in-class products for. Where are we adding that transition as far as the portion of the different tiers of banks making that move towards the improved user experience? And how do you see that window of opportunity developing? How fast is the integration for the industry moving in that direction? And then I’ve got one more follow up on Q2 Open after that.
Matt Flake: Yes, so I – and some of those will be Q2. But I think when we talk to our customers, what we’re driving with our product, the platform is when you login, you see something it’s relevant to the time you log in. So everybody has logged into digital banking is used to the same experience where you got to navigate to go somewhere as opposed to Tuesday is the day that you do payroll, so let’s log in and start with payroll and you’ll be able to function from there or your retail account holder and today is the day you have bills due or you have a transfer that needs to go out. So we began to intuitively understand what you do on this day and make it simpler for you to do that. And so that’s where things are going. Goal-based savings is one of the things we’re really excited about that allows people to set goals, whether they’re saving for a car, a house, college and that information gives the financial institution a clear product to go sell to the customer. And if you take a one step further, some of the assets that we have, plus we’ve acquired, you could fulfill that whole journey for a customer just by taking the data, looking at what they’re asking for and allowing them to go get loan or open an account or whatever that might be. So lot of opportunity, but making it to where it’s not a static experience and it’s dynamic, whenever you login and it’s tailored to use and end users where we’re going and we’re making great progress there.
Brad Berning: Just to follow up on that – my understanding is like what portion of the financial institutions do you think you’ve kind of gotten there and how much of the industry still needs to move? We’re still talking 80% of the industry or 40% of the industry needs to make that progress.
Matt Flake: That’s – people – I’d say 99% of them need to make that progress. There are very few people who have that, if any that have that in place. Now Q2 Open, you’re seeing open – Q2 Open being leveraged for some of these financial institutions to launch a targeted product towards millennials better end or somebody in the region. So that’s one of the things that Q2 Open is giving our customers, whether it’s a large – some of largest financial institutions in the world or are some of the ones that are more Tier 2, Tier 3, is that you can go attack a certain demographic, you want to go after and you don’t have to wait for your core processor or for another companies deliver it. You can just – with open APIs in the cloud, you can get to work on it quickly and really deliver a meaningful product.
Operator: Your next question comes from Larry Berlin of First Analysis. Your line is open.
Larry Berlin: Good morning forbs. A couple of quick ones. First with – I’ll open, I guess with the acquisition. How does it scaled down at Tier 2 and Tier 3 and is there any foreseeable works to get there or does just likely do large, when you can do small?
Matt Flake: Yes, it’s great. It’s built on the Force platform, it’s extremely scalable. They’re working with the largest financial institutions in the world and then they do have some smaller, all finance and banks that use the system. So it’s scalable from the smallest to the largest out there. It’s multi-generated – it’s consumer commercial leasing. It’s a great fit, it’s just more about what we talked about – what I talked about earlier, just determining, which asset classes make the most sense and let’s go make sure that we have the right solution for it and then integrating the product and moving forward.
Larry Berlin: Do you know about how many employees do they have?
Jennifer Harris: Yes, Larry, they’ve got just over 100 employees, with about half of those being in India and the remainder spread between their California headquarters, EMEA and ANZ.
Operator: There are no further questions. Thank you for your participation. This concludes today’s conference call. You may now disconnect.